Ann-Sofie Nordh: Greetings to all, and nice to connect again, as I bid you welcome to this presentation of ABB's Second Quarter results. I'm Ann-Sofie Nordh, Head of Investor Relations. And I’m here with our CEO, Bjorn Rosengren, and our CFO, Timo Ihamuotila. We will walk you through the presentation before we open up for the Q&A session. But before we begin, I should mention the information regarding safe harbor notices and our use of non-GAAP measures on Slide 2 of the presentation. Also this call will include forward-looking statements which are based on the company's current expectations and certain assumptions and are, therefore, subject to certain risks and uncertainties. And with that said, I will hand over to Bjorn and Timo to take you through our results.
Bjorn Rosengren: Thank you, Ann-Sofie, and a warm welcome from me as well. And let's start off by looking at a few highlights from the quarter. It was really good to see that demand remains on high level despite the challenges from high inflation, COVID-related lockdowns in China, and strained supply chain. Our orders reached $8.8 billion, the second highest level in recent years and we saw a steady profile of demand throughout the quarter. The pattern in Q2 was similar to what we have seen recently, namely, strong orders paired with revenues hampered by component shortages. This time, we also had an added challenge from the lockdowns in China. And total book-to-bill was 1.21 and it was the sixth consecutive quarter when we build order backlog. Then I want to highlight the margin of 15.5% in line with our group targets for 2023. I'm very pleased about this. And it was backed by a good operational performance in three out of four business areas. Where we need to improve is in Robotics & Discrete Automation. Just like in Q1, this is the business area significantly impacted by semiconductor shortages, preventing outcome deliveries and it is primarily related to the Robotics business. And I was pleased to see momentum improved in the machine automation. They ended the quarter on a strong note. I would also mention that we had additional support from the corporate cost. These include 60 basis points from some specific positive items. I will come back to that later. In total, I'm pleased we could improve from an already high level last year. Cash flow came in higher than in the first quarter and we expect good momentum in the second half of the year. Timo will talk more about that in a moment. Next, I want to mention that the consequences of the devastating war in Ukraine. We have taken the decision to exit the Russian market. Russia is a limited exposure to us and represents just over 1% of revenues last year. But still, we have started the process to wind down the remaining activities there. These actions trigger a charge of $57 million in income from operations, of which $23 million will impact cash flow in Q3. Lately, we have already earlier announced that we will postpone the IPO of the E-mobility until markets are more constructive. When it comes to Accelleron , we have decided to do the spin-off with the plans with listing in early October. Timo, we will talk about the details but I want to say that I'm pleased we are moving ahead with this. In my view, it allows for shareholders to realize the full value of Accelleron while allowing ABB to focus on core areas of Electrification and Automation. Now let's look more closely at orders and revenues on Slide 4. FX had an adverse impact, 7% on our reported orders and revenues. But let's focus on comparable growth which shows demand and what happened in the market. All business areas increased orders at a double digit growth rate. And in total, we were up 20% with a positive development in all major customer segments. We increased comparable revenues by 6% with the decline only in Robotics & Discrete Automation. While the general supply eased slightly compared to Q1, our revenues were still somewhat hampered. Robotics & Discrete Automation is clearly the business area suffering the most from the shortages of semiconductors. But the large distribution solution division in Electrification was also impacted. From what we know now, we expect supply of semiconductors to improve from here on. This quarter, the teams were also challenged by the lockdowns in Shanghai. We saw it have an immediate effect from the slowdown of local logistics and lockdowns were enforced in April. Then we saw a gradual recovery as restrictions eased during the quarter. We estimate that the China lockdowns had about two percentage negative impact on our reported comparable revenue growth of 6%. In total, we increased our order backlog to the record level of $19.5 billion. Now let's take a quick look at the different regions, which all improved at the double digit order rate. In the Americas, the important US market increased by 32%. In Europe, most of our major markets showed strong growth rate with AMEA region, it was good to see China improve by 10% despite the lock downs. Let's turn to Slide 6 and our earnings outcome. Our gross margin was 31.6% in the quarter, which is a decline of 210 basis points from last year. I think it is important to highlight that the main drivers from decline was mainly market-to-market the losses on commodity derivates while the underlying operational impact was limited to 50 basis points and mainly related to the low volumes in their Robotics & Discrete Automation. We increased their operational EBITDA by 2%. However, excluding the negative FX, it was actually up by 9%. It was good to see how the teams more than offset the cost inflation in commodities, freight and labor, through the strong pricing execution. Additionally, results were also supported by a slight increase in volumes and efficiency measures. You know that we aim for the margin of at least 50% in 2023 with Q2 margins of 15.5%, we took another step towards that target. But like I mentioned earlier, we had about 60 basis points support from what I would refer to special items. That would be real estate sales and impact related to the exit of the large legacy project. Excluding these and divestment of the Dodge business, we saw a slight increase from last year, a good outcome in my view, given the challenges from the inflation, lockdowns in China, and top of the already strained supply chain. Headwinds from the lockdown and semiconductor shortage should ease going forward. I expect a good momentum during the second half of the year. And with that, I would like to hand over to Timo.
Timo Ihamuotila: Thank you, Bjorn, and greetings to everyone also from my side. As usual, let's start by taking a closer look at Electrification, where overall customer activity was strong across the segments, which resulted in comparable orders being up by 16%. The only area which showed some softness was residential buildings in China in line with what we also saw in Q1. The demand pattern in Electrification overall was strong also at the end of the quarter, so a fairly steady trend. Regarding different geographies and countries, China declined by 5%, seemingly related to some temporary weakness during the initial COVID-related lockdowns. Looking elsewhere, we saw the steepest growth in the Americas at plus 30% and orders in Europe continued to grow at the healthy 10% rate. Just like in the previous quarter strong pricing was the main driver for comparable revenue growth, which was up by 10%. Volumes continue to be hampered by supply chain disruptions mainly in distribution solutions, whose systems rely on high volume and high variety of components. Add to that, that our solutions feed into larger projects, and you realize that the value chain can become quite complex. The low volumes in this largest division resulted in under absorption of fixed costs, which more than offset earnings improvements in other divisions. The operational EBITDA margin was 16.9%, down 50 basis points from last year, which benefited from favorable commodity hedges. This is a good achievement considering inflation and strained value chain. Looking ahead into the third quarter, we expect a clearly stronger growth rate for comparable revenues than the 10% we had in the second quarter, and somewhat of a sequentially higher operational EBITDA margin. Let's move onto Motion on Slide 8, where orders again came in at above $2 billion despite the headwinds from the stronger US dollar. Adjusting for the Dodge divestment, comparable orders increased by 26%, reflecting a double digit growth rate in base orders, as well as good contribution from large orders. Strong demand was noted in all customer segments and across all major regions. In revenues, Motion improved by more muted 3% on a comparable basis. While the team continued to do an excellent job on pricing, volumes were hampered by the lockdowns in China, which slowed down local logistics and access to components. As a consequence, the order backlog continued to increase to a record high of $4.6 billion. Compared with last year, the operational EBITDA margin declined by 130 basis point to 16.4%, roughly half of the decline stems from the divestment of the Dodge business. The rest was primarily driven by under absorption of fixed costs due to the decline in volumes while the strong pricing execution approximately offset the negative impact from higher input costs. Looking ahead into the third quarter, we expect a solid double digit growth in comparable revenues and somewhat of a sequentially higher operational EBITDA margin. Turning to Slide 9 and Process Automation where demand was strong across customer segments and regions. As a result, comparable orders grew 25% with double digit growth rates in all divisions admittedly from a fairly easy comparable. Particular strength was noted in metals and mining, where customers are looking to invest in capacity outside Russia, but also in the marine market. Revenues increased by 7% with support from all divisions. The business area was able to mitigate the majority of the components shortages during the quarter. Some of these are still expected to continue as the year progresses. Looking at the margin in Process Automation, which is clearly the highlight of this quarter. Operational EBITDA increased by 17% compared to last year, resulting in a margin of 14.3%, the highest level in four years. This improvement of 180 basis points was driven by good project execution as well as efficiency measures. It is great to see that the work towards sustainable performance improvement in PA is paying off as Peter and colleagues showed at the recent Capital Markets Day. For the third quarter, we expect a similar comparable revenue growth sequentially, and operational EBITDA margin at approximately last year's level. On Slide 10, we turn to Robotics & Discrete Automation and you recognize the pattern of high orders intake and revenues significantly hampered by low delivery volumes. Comparable orders increased by 23% with both divisions noting strong momentum with stable demand trends throughout the quarter. Customer activity increased in all segments with the highest order growth in Automotive, where we continue to see a strong development in E-Vehicle investments in China. As expected, the shutdown of the robotics factory in Shanghai in April, and the consequential gradual ramp up of production during May had a significant impact on customer deliveries in the second quarter. Additionally, semiconductor shortages continue to adversely impact revenues, while selectively easing in some areas such as in Machine Automation. Overall, RA’s comparable revenue growth continued to be negative at minus 5%, resulting in a further increase of the order backlog to $2.7 billion. RA's operational EBITDA margin decreased by 330 basis points year-on-year to 8.2%, mainly driven by Robotics as the missing volumes from the lockdown in China and cost inflation more than offset cost measures and positive impact from price. For the third quarter, we expect comparable revenue growth to leave the negative territory and move into a robust positive year-on-year improvement. On the back of strong revenue momentum, we expect a strong sequential upgrade of the operational EBITDA margin. Then moving to Slide 11, showing the group revenues and operational EBITDA bridge. As you can see, the comparable earnings improvement benefited from our strong pricing execution, volumes as well as operational efficiencies, which combined more than offset the adverse effects from cost inflation. The exit of our full train retrofit business incurred in non-core and helped operating margins by 20 basis points. Acquisitions and divestments, i.e., mainly Dodge as well as the impact from changing FX were slightly diluting on the group level. Now let's move to look at the cash flow on Slide 12. Cash flow from our operating activities of $385 million was clearly higher than in Q1, and I expect strong cash performance in the second half of the year. Compared with last year, the operational performance was more or less on a similar level. However, the continued build up of trade working capital mainly related to inventories weighed on the cash flow for the quarter. This build up is of course aimed at supporting our strong order growth. Now Bjorn mentioned earlier today that we had exited a legacy project. And I am sure you remember that I flagged this to you when we last met here, i.e. that we were looking to close the largest position of the total of up to $300 million exposure we have in our non-core legacy project. We were able to close this as expected in the second quarter, which resulted in a charge of approximately $200 million recorded below the line in income from operations. This hit the Q2 cash flow from operations by $25 million with about $140 million impacting primarily Q3. I'm very pleased that we were able to do this. We have now ramped down the majority of our non-core business, a project started already in Q4 2017. We still have about $100 million of exposure left as we have discussed earlier. But as this is more of a legal dispute, timing here is very difficult to estimate. And still to complete the cash picture for the full year 2022, we continue to expect a solid cash performance. Before I hand over to Bjorn, let me just briefly update you on our portfolio actions. Bjorn briefly mentioned E-mobility earlier, so let's focus on our decision to spin off Accelleron, our turbocharging business. As announced only yesterday, we plan a listing on the SIX Swiss Exchange on 3rd of October. This means that the division will still be part of Process Automation for the full third quarter. The spin-off is subject to approval by ABB’s AGM planned for 7th September, an invitation should go out shortly. Provided that the spin-off is approved at the AGM and the conditions precedent for it are met, ABB will distribute to its shareholders on a pro-rata basis as a dividend in kind, one Accelleron share for 20 ABB shares held. It is our strong belief that the spin-off will benefit both companies. Accelleron will be able to concentrate exclusively on reaching its full potential in the large engine industry while we as ABB Group continues to simplify our portfolio and focus on our purpose of enabling a more sustainable and resource efficient future with our technology leadership in Electrification and Automation. We have scheduled a Capital Markets Day for 31st of August, focusing on Accelleron in order for you to meet the management team and learn more about this exciting company, and the related transaction. And with that, I would like to hand it back over to Bjorn.
Bjorn Rosengren: Thank you, Timo. I have a feeling you will ask me anyway so I might as well mention it now, that the first few weeks of Q3 seems to have come out on a strong note. Of course, these are uncertain times and it remains to be seen how these high inflation impacts demand mid-term. As you know, there is talk about a downturn in the news. We are prepared, all division do scenario planning, it is part of being a good manager in a decentralized organization. I always say to the guys, we should always be prepared and have these plans ready also in good times, then we can act swiftly if and when a market changes. I think the COVID downturn is a good testament to that we can act quickly and promptly. I feel we are more resilient business now compared to in the past. But importantly, our customers remain active on their high level all the way through Q2. And lastly, on Slide 15, we take a quick look at our expectations for Q3. We anticipate double digit comparable revenue growth and the operational EBITDA margin to be sequentially improved, excluding the 60 basis points impacted from special items in the second quarter. And with that, I’ll let Ann-Sofie open the Q&A.
A - Ann-Sofie Nordh: Yes, let's open up for the Q&A now. [Operator Instructions] And with that said, we'll start with the first question and that will come from Ben Uglow at Morgan Stanley. Ben, your line should be open.
Ben Uglow: Good morning, Ann-Sofie, Bjorn and Timo. Hope everyone is well. My question is really for Timo in terms of understanding just a little bit better the cash flow dynamics. I realize looking at everything on a three months basis is sort of slightly artificial in your company. But if we look at the second quarter, the cash has come down 40 odd percent. And when I look, what I'm curious to understand is within the different divisions, and also Corporate in particular, and there are some big variations. So in terms of the biggest change in cash, it’s actually coming from Corporate, which is nearly a $500 million outflow. And what I wanted to know is, is that Corporate line, is that to do with working capital and intersegment sales? Is it to do with restructuring, or is it related, I think you've clarified bit to the legacy items, the non-core project wind down? And then within the divisions, Motion seems to be okay and the other divisions are not. Is that just the base effect in Motion is coming off a low level, or is there something different in the way that the divisions are managing their cash? So that's really my first question.
Timo Ihamuotila: Okay, there's quite a bit there. Thanks, Ben. Actually, that's a good catch for the quarter because while we did exit from the full train retrofit business, which we have spoken earlier about, there is actually business moving to Motion from Corporate and that's the biggest driver here on the delta. That's why the Motion is up and Corporate is down because when we move that project to a normal execution in Motion, because the exit happens in a way that we exit all that full train retrofit part, and then Motion will take the contract, which is actually our core business providing the key traction components for those trains. And that causes this cash flow change between mainly Corporate and Motion. There are some other items probably there. There could be that last year, we have this ATV impact and other things like that but it's really the main impact is this transaction between Corporate and Motion internally. But I think the important point in cash in general is that we are really expecting a strong recovery in cash, we are expecting cash to go up from Q2 to Q3 and then very strongly from Q3 to Q4.
Ben Uglow: Understood, thank you. One follow up, I'm going to try and pin you down on that a little bit Timo because we've talked in the past about a billion dollars of cash from operations. And if I look at the last - the second half of last year, that was the run rate and we're now down a $300 million. So are you saying in principle, that there's no reason why we shouldn't be getting back to that $1 billion type of run rate in the in the second half of this year? Is there any headwind that I'm missing?
Timo Ihamuotila: Well, there is more volatility. But if I gave some numbers on this, and I can also talk about the free cash flow as well. But first of all, the biggest tie up in cash is in inventory. And our inventory, if you just look at reported numbers from the balance sheet from a year ago, is up about 19%. On the other hand, if you look at our order book, our order backlog is up 26%, at the same time, and out of that order backlog, we expect 56% to convert second half. So that's about $2.8 billion more conversion. And we also had a strong order build up in book and bill business during second quarter. So there is really a clear justification, why it also for numbers perspective, should work out like that. And that's why I'm saying that we expect a clearly stronger cash, Q3, and then even stronger Q4. I mean, if you look at history of ABB, we have had even you know, operating cash flow $1.71 billion, $1.8 billion earlier as well. So let's see what happens this year on that. And then if you look at free cash flow, I mean, last year, we had about $2.8 billion. And there are some items here, which we have spoken about during the year. So we had the bonus impact, we have SJ now or the full train retrofit impact about $150 million. We have also impact from ATV. And then we have some other impacts from the separation cost and so forth and that's approximately $700 million. So if I would have to put the number out there may be a bit short of $2 billion for the very solid cost performance expected for the year.
Ben Uglow: That's very helpful. Thank you. Thank you very much. I'll move on.
Ann-Sofie Nordh: Moving on, in the sense that you have another question or we’re moving on to the next question I think.
Ben Uglow: No, no, I was -
Ann-Sofie Nordh: I think we’ll move on to the next person. Sorry, Ben.
Ben Uglow: I’ll just shut up and let somebody else have a go. Yeah.
Ann-Sofie Nordh: Very kind. So we'll see if we have the line open for Andy at J.P. Morgan
Andreas Willi: Hi, good morning, everyone. Thanks for taking my questions. I wanted to start just a comment, or I guess, or add to the comments on prices. I guess if I like - we sort of mentioned strong pricing in each of the divisions as we went through. I'm just interested in terms of how it's developed sequentially. And I guess if you feel you need to take more actions for the balance of the year, given that we're obviously still seeing some costs continue to increase?
Bjorn Rosengren: Did I understand the question right here, I didn't hear very well, regarding pricing?
Ann-Sofie Nordh: Yes compared sequentially, Q2 compared to Q1?
Bjorn Rosengren: Yeah. Okay. I think, the inflation has been now for a year, and I think our operations are fully up and dealing with these costs increases in the production all coming from the supply chain, but from commodities or energy and all of this. And I think overall, the group and the operations really manage this in a very good way. So we’re actually covering the cost increases, as we're doing today with pricing. If you're looking at the numbers, out of those 6% that you see probably 5% of those are coming from price increases and 1% on increased volumes. So, and that shows a little bit of the constraints that we have been dealing with during the first quarter and the second quarter. And we really said that coming in, with the shutdown in China, especially in Shanghai, a big factory was closed for five weeks in that and then the recovery coming after that. Going forward, it’s of course difficult to say but we see commodity prices is actually coming down at the moment, which will have some type of relief. On the energy side, I think we've - we all have been waiting to see what's going to happen with Nord Stream, and so on. And then of course, there came some positive signals today, and we don't know what the high interest is going to have some effect. So our businesses are monitoring this all the time, we do expect that there will be inflation during the part. But hopefully, we can say that there should be some kind of easing in the coming future. But I think we are well prepared, and the businesses are driving this value based pricing, which has been implemented in 2020 and doing quite a good job.
Andreas Willi: And if I can just follow up with a question Process Automation, and you talked about metals, and mining and marine being particularly good, I'm interested, again, probably sequentially in terms of the development amongst your oil and gas customers, and whether you're seeing an increasing level of activity coming through on that side?
Bjorn Rosengren: Yeah, I mean, you have seen that Process Automation has developed very good and I love to talk about this business because it's more I spend time with it is more I quite like it. We are of course in some of these large industries like in oil and gas and mining. But what is of course, important with both of these kinds of industries, that they are part of a transformation. And I think our contribution is really part of that, in the mining companies its automation and electrification, which is the big driving force. In the oil and gas companies, which are today called energy companies, it is more investing the free cash into renewables and that is where we have a big contribution also. But we have seen higher oil prices during the first half of the year, which of course, have accelerated some activities within this area. So I mean, you've seen the performance of Process Automation and going over 14% in performance, of course, we are extremely happy to see that they are focusing on good projects where we can add a lot of value to the customer, so good job from them.
Andreas Willi: Thank you.
Ann-Sofie Nordh: Okay. Thanks, Andy. And I'll get through here with a couple of questions from the web tool. And it comes from Joe at Cowen, he wants to know, he says backlog continues to expand as major economies may be moving to recessionary times, how do you view cancellation and push out risks? If we start there, Bjorn, do you want to?
Bjorn Rosengren: Okay, I can start a little bit there. Yeah, maybe we are monitoring our orders on hand very carefully because as you know, our 21 divisions, they live and die by the orders that they have there. We have been also very careful in booking orders which feel uncomfortable with, so and so far there has been a strong demand in the market and you see in the book-to-bill ratio actually six quarter now with positive from that. And we are seeing the second half as you'll see in our expectation that we now will be releasing quite some good part of that order book during the coming quarters here. So we're pretty optimistic. So far, no cancellations. And I think we feel also that there are a lot of these orders also which are - where you had cancellation fees also, which of course will secure the quality of the order book but so far so good.
Ann-Sofie Nordh: Okay, and here Joe has another question here which perhaps is aimed to you Timo, since you are [PA] outlook kind of guy. He says PA margins were strong, why are they expected to move down to quarter-on-quarter?
Timo Ihamuotila: Yeah, thanks for the question. So there is some mix impact and I think we actually called out strong project execution in Q2. So it's nothing else than a small change in mix so there is no drama there. As we said we expect to be approximately at last year's level on PA margin, which was a strong margin in itself.
Bjorn Rosengren: Maybe I can also mention that, you know, in PA you have a big part of the business is service. And when you get larger volumes out which means that you're delivering out project, it has some pressure on the margin, which then is coming back with the service business that is coming after. That's it can have some small effects between different quarters. But I think the quality of the order book is quite good.
Ann-Sofie Nordh: And then we'll go back to a question from the conference call. We have Mattias from DNB. Your line should be open, please.
Mattias Holmberg: Hi, everyone, and thanks for the time. I'm just trying to understand the Q3 margin guidance a bit better where you say the sequential improvement is excluding the 60 basis points from special items. Is that based on the 15.5%? Because if I just take your operational EBITDA divided by your sales, I get to 13.7, so I assume that you exclude the Corporate items in the 15.5%. And so just trying to understand the dynamics here?
Timo Ihamuotila: Yeah, yeah, we tried to be very clear, but thanks for the question anyhow. So we are simply saying we were at 15.5%, take out the 60 basis points, which were called out you are at 14.9%. We are expecting to go up from there. And this is actually well in line what we said already going into the year because we said that this year, given the constraints we were expecting, go Q1 up to Q2 and then again up to Q3. So our Q1 was 14.3%. Now we can say this reference point 14.9%. And we expect to go sequentially up from there for Q3.
Ann-Sofie Nordh: And if I may add to that Mattias, the 15.7 you mentioned you probably get from dividing with the reported revenues, our margin calculation, it's actually made on operational revenues, which you find on Page 6 in the financial documents. So that should put that straight.
Timo Ihamuotila: Thanks, I didn’t remember that.
Mattias Holmberg: Thank you for that clarification. A second one, if I may, just really quick? I was surprised when I read the comments, you talked about strong demand, basically, throughout the world, customer segments, divisions, geographies, and so on. So I'm just curious to, is there any area at all that you would highlight where you notice any signs of slowing in the moment?
Bjorn Rosengren: That is not strong, or that is [right]?
Ann-Sofie Nordh: That is not softening.
Bjorn Rosengren: Oh, softening, I mean the only - I mean it’s very clear. If you look at our segments where we're operating, it has been looking quite good all over the business. We have pointed out one segment and this of course, commercial building is in or a building in China, which has been softening off, but that was to say, mostly in Q1, so there is no change, actually from that.
Ann-Sofie Nordh: Thank you.
Mattias Holmberg: Thank you so much.
Ann-Sofie Nordh: Thanks, Matthias. And then we'll take the next question from the conference call. And that, we should open up the line for Gael at Deutsche Bank.
Gael de-Bray: Thanks very much. Good morning, everybody.
Ann-Sofie Nordh: Good morning.
Gael de-Bray: Two questions, please. The first one is on, I guess, the strategy here - from here. I mean, ABB has been very shareholder friendly for few years now with ongoing buybacks and now with the planned distribution of Accelleron. So it’s great obviously, but I think many investors would like to see you grow and develop the business a bit more actively. So in particular, could you talk a bit about your M&A pipeline and the key areas of focus in the four divisions? So that's question number one. And question number two is about PA. Could you give us some color on the contribution of the turbocharging business to PA this quarter? And perhaps give us an update on the target in margin range for Process Automation in the medium term, excluding Accelleron? Thanks very much.
Bjorn Rosengren: Okay, I’ll start up with the strategy question and I’ll hand over to Timo for what - for the margin discussion in the PA. Thank you, I think it's a very good and valid question. And I came into the company in our two and a half year ago and we set up the new strategy, we decentralized the company moving responsibility out very much focusing on getting the quality of the revenues to the right levels. And then we said, stability, profitability, and then growth. And we, of course, follow every 21 division where we have and going in starting up here for two and a half years, I would say 30% of the businesses were in the growth mode. Today, I would say we're closer to 70% of the businesses that are in growth mode. We also build up the, what we call the purpose of ABB. We don't want to be a conglomerate. I want to be very, very clear on that. So we spent quite some time to find why do we keep the group together and of course we built this up. And we said that the businesses that remains in ABB and that we are going to develop further need to support our purpose. And that is, of course, helping our customers to become more sustainable by our Electrification and Automation business. So if you're not part of that, if you're not really support it, it doesn't mean that you’re not great businesses, because both Dodge, as well as turbocharging, which is called Accelleron today are fantastic businesses. But we think that these businesses do deserve to be in an environment where there is full focus on them and to growing these businesses. Why we think that ABB should focus on our purpose and developing the company? We are very much going into a growth phase going forward. And I'll been very clear to say that driving these growth, it's actually coming from our 21 divisions. They need to strengthen their position, and they need to be number one or number two in their businesses. So we have a pipeline maybe of 100 companies today that we are analyzing and looking where we can make some imbalance when it comes to M&A activities. So I believe that this year, we will be at least five acquisitions of small to medium size. But we are also looking at, in different business area, the sizes, you know, the size, maybe of a division size, if it would support our business within Automation or Electrification. We are looking at software companies, which have now come down a little bit in valuation, which of course make them a little bit more attractive, but also in other technology that would strengthen ABB forward. So I think it's a great question. And you will see going forward that we really want to grow ABB in line with that purpose.
Timo Ihamuotila: Okay, yeah. And then on the turbo question, we actually put a little press release out today on turbo and its performance on 21 and all that, but you can say that it has been varying between about 150 basis points to 200 basis points that impact on PA, so somewhere there. So if you would take a midpoint and go down from the 14.3%, maybe 12.5% plus minus, so something like that. And I think PA actually had a Capital Markets Day, and they said on that Capital Markets Day that they look to contribute well to ABB’s target of overall being over 50%. So of course from that you would expect that gradually during the years, they would then move up from those kind of numbers, but it's about 150 basis point to 200 basis point impact.
Ann-Sofie Nordh: Okay.
Gael de-Bray: Okay, thanks. Thanks very much.
Ann-Sofie Nordh: Thanks, Gael. And we move on to the next question on the conference call. We open up the line for Daniela at Goldman Sachs.
Daniela Costa: Hi, good morning. Thanks for taking my questions. So first, I just wanted to check on Robotics, given your commentary about things slowly improving on the supply chain. Do you think will you'll be able to be like at full optimal utilization this year or is it just next year? And once you do that, I think in the past, we had seen you with margins in some quarters north of 15%. Is that how we should think given how large the backlog actually is for delivery? Is that doable near term? That's my main question. And then just a follow up, I guess on the conversation that you were just having, one thing that you have for next year is the put option, I guess to on the remaining 20% of Power Grids. Can you remind us how much value you could get from that? Were there any adjustment mechanisms for how they performed since you've signed the sale agreement versus now sort of what type of cash inflow would we exactly expect next year from that? Thank you.
Bjorn Rosengren: Thank you, Daniela. I’ll start up with a Robotics and then I hand over to Timo regarding the [Dodge] ownership there. I said from the beginning, the robot business that we have should be 15% business growing 10% per year. That's the type of business that we look upon that. The challenge that they have had during the last quarters’ have been of course severe. And you've seen the volumes actually been low while the orders have actually increased. And now finally, we are seeing relief in the supply chain from semiconductors and we saw it already an improvement from Discrete Automation, the B&R business which actually delivered 13% during the quarter. I'm not allowed to say it but I sneak it out in this way. I'm very happy that they came back in a good way. Robotic business is now also seeing relief from the semiconductors and we will see a good improvement in deliveries during the second half and also improvement well over 10%, both during these quarters coming up there. Next year, they have committed themselves to be in line with where they should be. So let's see how that will be developed. But finally, we are seeing improvements coming through in the Robotics business.
Timo Ihamuotila: Okay, yeah, and on the put option. So this is mid next year, and we have been talking about $1.5 billion type of number. Now, we also said that there are some mechanisms in the system where it could vary a bit, but it shouldn't be too far from that. So let's just put it that way.
Daniela Costa: Thank you very much.
Ann-Sofie Nordh: Thank you. Okay. And we'll take this another question from the conference call. And we open up the line for Guillermo at UBS, please? Guillermo, are you there? Yeah, I'm
Guillermo Peigneux: Yeah, I'm here. Good morning, everyone. Good morning, Ann-Sofie, Bjorn and Timo. I wanted to ask maybe a couple of questions. One with regards to ABB Group overall, with supply chain bottlenecks resolved in semiconductors are probably easing, obviously, the group will be able to unleash the backlog. And I wonder how operating leverage will react which is obviously in part embedded in your guidance and when would it normalize? And I also wonder whether there are any hiccups in terms of inventory levels, at your ABB Group or in the distribution channels that we should be aware of, i.e. basically any potential limits to the margins near term despite your improving guidance in the margin as we go into the second half? Whether we will see basically any limits to that improvement, because of any potential hiccups coming from inventory levels at your company or at the distribution channels level? Thank you.
Bjorn Rosengren: Thank you, Guillermo. I’ll let Timo answer on the margins on the order book, because for us, we, of course, are very much curious how that goes forward, so we measure that well. But let me talk a little bit on the supply chain of the semiconductors. And I, you’ll probably remember me saying going into this year that we have a number of really challenging quarters, Q1 and Q2, where we have a lot of discommitment from suppliers. And we were - I was actually quite nervous of really getting huge effect on the group. We managed to get this through and I think the business has done a fantastic job, even though we don't see any good volumes going through yet compared to last year. But we have now come to a situation where we have much better commitments from the suppliers. The reason for that I'm not fully sure about but of course, some of them have ramped up their volumes and their capacity, but probably also maybe on the consumer market that there are some lower demand in some of equipment there, which makes these companies to be able to be better to deliver to industrial company from their part. But during the next quarter, we do not see any severe challenges on the semiconductor, which will help us to get some of that huge order book we have out to the market. So and then you of course asked me how much of that is going to go through? I'm not going to go into that because it varies a lot between the different divisions that we have. But I see the guidance that Timo gave before is that we should see an improvement in margin during Q3 compared to what we see in this quarter.
Timo Ihamuotila: Yeah. Yeah, so maybe just on this drop through maybe on some puts and takes, because it's of course not an exact answer as lot depends on also how our book-and-bill, how the short term business develops. But Bjorn was referring to the backlog gross margin. Backlog gross margin continues to go up. So when we convert that will give us clearly some benefit. As I said, we are expecting to get about $2.8 billion, would we get all the supply exactly on time from the backlog during second half of the year. And then if we get on top of that a good book and bill business, then of course we should see a reasonable drop through.
Guillermo Peigneux: Thank you. And maybe a second question then on Electrification. I guess some of the base commodities and raw materials are now dropping significantly from the levels and so and I was wondering whether you still find it easy to increase price and in these kinds of environment. And maybe also when should you see those declines in commodities and raw materials [indiscernible]? Thank you.
Bjorn Rosengren: Sure. Sure. Of course we are seeing commodity prices coming downside. Well, we of course, hedge some part of it that we will have somewhat delay in this dropping through in our businesses. When we look at Electrification, I mean, you've seen the dramatic improvement of financial performance in Electrification, which we are extremely happy from. And I would say the most of our divisions are doing a superb job here and really get it through. One of our divisions that we talked about a lot during the last quarter as well is the DS, Distribution Solution, which is our switchgear business, this is a project business. And I think here, we have longer project where many of these contracts we’re taking before and you will be delivering out. And of course, they have had the toughest to get through price increases, and to offset some of that, which has of course affected the margin quite dramatic. There is a lot of focusing on this going forward now during - also during Morten’s leadership here, where we have separated the service business to get a good focus on that, but also looking into the low voltage business and the medium voltage business, which are a bit different there. And there are different scenarios, but it should be moving in the direction and focusing on getting the margins modules up also in that business. When it comes to inflation during Second half, it's a little bit too early for us to say, where is it going, interest rates are going up, commodity prices are coming down. So there are things that could affect the demand and also could have some effect on the inflation. But our businesses, they are close to the customers, they are of course measuring exactly what the cost increases are. And they know where they need to be to offset these costs and make sure that we get the value for the products that we are - and services that we're putting into the market. So we're pretty optimistic, but there could be some releases when it comes to inflation second half. And of course, we all hope that because it's not good for no companies or not for the society with inflation, that is pretty clear.
Timo Ihamuotila: I think Bjorn just to highlight what you also said earlier is that we are really doing this scenario planning now for different scenarios. Because this is of course, a business environment, which is a bit more difficult to read than at some other times. And the key point is that we have the scenarios and then you can react early when you see that you are moving to certain direction. So you know early what to do and all of our divisions or business areas are doing that. So it's a very important tool for us for business management in general.
Guillermo Peigneux: Thank you.
Ann-Sofie Nordh: Okay.
Guillermo Peigneux: I have a third one, but I will drop it online. Thank you.
Ann-Sofie Nordh: Thanks. Thanks, Guillermo. I'll cut in with your question from - there were a couple of questions actually from the online tool. It’s from Will Mackie and his first question is how would you characterize demand trends and business outlook in China now that impact from lockdowns is declining?
Bjorn Rosengren: Yeah, I mean, let's talk a little bit about China during the quarter that was. And we saw during the lockdown that that it had effects on the mood in China during this period. And then after five weeks lockdown, we saw the ease coming out but also the [indiscernible] so what we call PMI Index, the mood in the industry has actually come up to a positive side, which made the good ending in the quarter where we actually saw demand for 10% in China. China is of course difficult to see, there COVID is not over yet. There are small shutdowns in different areas more related to living areas than the industry overall. So we don't really know what is going to happen in China and it’s also that residential building side which has been a little bit weak and how that will be affected going forward. It’s maybe a little bit too early to say and we probably have to come back with that during next quarter. On the other hand, I said the first three weeks in the quarter or in the month has started out positively.
Ann-Sofie Nordh: Okay, and he has another question and we'll take that straightaway. Within Motion, could you please break down volume versus price impact on revenues? And how this may develop in Q3? Do you want to?
Timo Ihamuotila: Yeah, I can take that so not as exact as Bjorn was saying for the group. I mean in the group we had a 6% growth and that 1% to 5% and basically about 1% volume and then about 5% price. Motion is in a similar situation, which then means that there was maybe a slightly negative volume in majority of price because they're comparable growth was 3%. So that's about how it is but we expect this to change quite significantly now, going into Q3. So we said that we expect double digit revenue growth in Motion. And another thing which was going on in Motion is that there is a mix delta. Because in China, we have way bigger drives portion of the mix than for example, in the other parts of the world. And of course, China was a bit lower on revenue and that impacted the overall mix. And we would expect that to start to reverse again, also going into Q3.
Ann-Sofie Nordh: Very good. And we'll take the next question from the conference call, please. We have Alex from Bank of America/Merrill Lynch on the line, I hope. Alex, are you there?
Alexander Virgo: I am indeed. Thanks, Ann-Sofie, good morning Bjorn, good morning Timo.
Bjorn Rosengren: Good morning.
Alexander Virgo: I guess same sort of question really on Europe, I think that's probably the one where - the region where we're all most uncertain and unclear. And I just wondered if you could, in the context of what you talked about their Bjorn on the first three weeks of the quarter, I'm thinking more about just how customers are reacting and responding in terms of their requests or interaction with you with respect to trying to plan for the next sort of six to 12 months. I guess you talked about your business areas have got a lot of preparations in place for a downturn. And I think that - I think that's obviously a very good place to start. But I'm thinking more just trying to understand what the customers are saying and acting on because I think in many respects, the imperative to invest in response to all of this to address energy inflation to address operational efficiency is even greater than it was six months ago. So I'm just trying to understand what the context of those conversations are. I know it’s a slightly generic question, but I'd be - I’d like to hear your thoughts?
Bjorn Rosengren: Interesting question, I'd be happy to elaborate a little bit from ABB viewpoint, when it comes to Europe . And first to say you saw good growth in during the quarter in Europe demand in all the segments where we are operating. And I think it's important to - if I the look a little bit on Europe from two points of views. One is, of course, the increases in inflation as well as the energy crisis that is building up with costs that can have some short term effects on demand, because people are spending more money in paying bills than actually investing in the future. On the other hand, when it comes to Europe, I think Europe is very much committed to the transformation towards more renewables, meaning electrifying Europe, but also to drive automation in this part. And I think from that perspective, with our purpose and the impact that we do among our customers, I think we are perfectly positioned to participate in this. So there is a lot of things. I mean, I can only see in our own operations where we are transforming away from fossil fuels moving in more to renewables and all the electrification that is taking place there is, of course, going to be strong driving force, if we’re looking for the medium to long term. And I do believe that ABB is well positioned here and I think we can do a lot of contribution. So the underlying demand, we believe, will continue to be strong in Europe. And then of course, there can be some short term hiccups, that is pretty clear, with inflation and so on. But hopefully the central banks and the other ones can mitigate and we can get the inflation down. And if we do that, I think we can get over to a little bit more normal environment than we have had during the last year, hopefully. Anything you want to or would like to?
Timo Ihamuotila: No.
Bjorn Rosengren: So I think that that's a little bit what we see it from ABB.
Alexander Virgo: Okay, great. Thanks Bjorn.
Ann-Sofie Nordh: Thanks, Alex. And we'll - if we try and keep it short. We'll finish off with one last question from the conference call. And we should have Andre from Credit Suisse on the line.
Andre Kukhnin: Thank you very much for squeezing me in. I'll keep to one question. And I really wanted to ask about the kind of Electrification and a push for energy efficiency, we hearing quite a lot of that anecdotally obviously in the light of energy prices spiking up in Europe and global efforts, but I wondered if that's something that you can confirm or deny from your Electrification business perspective, being obviously global number two player and offer maybe any quantification of that? Is there a kind of some of that sequential pickup in order sales or but also that specifically, and as anything you're doing to position yourself specifically for that trend of just supplying quick energy saving solutions to Europe to counter the geopolitical threat?
Bjorn Rosengren: Coming back to this, see electrification is based on trend not least in Europe, and we can see from our business that there is really good orders coming into the Electrification business [are good]. And one part of this is, of course, also EV charging, which is an important part of the transformation of the whole vehicle industry towards electrical vehicles and you’ve seen that within growth numbers over 100% of that business. So this is a really accelerating and of course, in relation to that, of course, it's a whole infrastructure behind Electrification, which is becoming important. So yeah, we see it in our businesses, we are positioning ourselves and I think also, the divisions are doing a great job with both products and services, to position ourselves well when it comes. Electrification in Europe, ABB has a very strong position. If you look at different areas, I think China and Europe is our two strongest holds while the US, we still could do better when it comes to being part. Even though we made the big investments in the GIS which has helped us to strengthen up there but we've still got ways to go in US to become really a number two player. But I think we - our divisions are well positioned, they're doing a good job to both deliver power services as well as financial performance.
Ann-Sofie Nordh: Thank you.
Andre Kukhnin: Thank you.
Ann-Sofie Nordh: And cautious of everyone's time in reporting season, we'll close the hour here, slightly overrun but still. Thank you very much for joining us and have a good summer holiday whenever you get to it.
Bjorn Rosengren: Bye, thank you.
Timo Ihamuotila: Thank you.